Jörgen Larsson: Welcome to the Stillfront Group Full Year Report 2023. I will be presenting, CEO, Jorgen Larsson, together with my colleague, Andreas Uddman, CFO. This is what we will talk about mainly today. We returned to organic growth in both November and December, which is what we aimed for in the beginning of the year. However, our net revenue declined 2% year-over-year in the fourth quarter, but we had a, as I said, organic uplift. The organic bookings declined by 2% as well despite being positive in November and December. Our gross profit grew by 1% in the fourth quarter. Gross margin increased by 2 percentage points year-over-year to 78%. We will go deeper into this during the presentation. Looking at the full year, which is what we're presenting, the EBITDAC margin is up by 1.8% from 22.7% to 24.4%, which is very much in line with the trajectory or the path that we described at our Capital Markets Day February last year. The adjusted EBITDAC margin was down 4% year-over-year in the fourth quarter due to the massive UA push that we were able to push into our new Star product, Sunshine Island, which we also will go further into. And that is also what's worth mentioning is that our free cash flow is down to 833% for the full year, the last 12 months. And that's a decrease, and that's mainly related to that. We do have lower financial net, higher interest rates, and we have some one-off costs related to our cost optimization project. On the right side, you can see how our revenues were distributed. So quite stable from previous periods. We increased slightly in Europe by 2 percentage points and lowered in Asia, North America and the other regions are intact. Looking further into our revenue profile. You can see that on the right side of this slide, you can see how the quarter looked like. So we had the 3% lower revenues organically, as mentioned, FX was positive by 1%. We had no other significant impact on the bridge here. So that is what sums up to the SEK 742 million that we reported for the quarter. You can also see on the left side, the significant push in UA that we did by equaling 31% in UA in relation to net revenues. And you can also see that rolling 12 months, it's very stable despite this significant push in Q4. So we are 26% plus/minus 1%, the last 5 quarters rolling 12 months. And that is important because that is showing the stability even though you will see and you shall always see significant differences between individual quarters and this is important, the normal pattern in our industry and the normal pattern hasn't been there for a couple of years. First, due to the pandemic uplift and then the bounce back the last couple of years. So it's very important and very good news that we see a pattern that is much more normal to our industry, which is higher UA typically in Q4 and Q1 and then higher margins in Q2 and Q3. So we are seeing the normal pattern of our industry coming back, which is satisfactory. Looking a bit into our margins. You can also see similar to this, that our EBITDAC margin that was down to 21% for the individual quarter compared to 25% last year when we were not able to push as much UA as we were able to do this quarter. Year-to-date, EBITDAC margin 24%, as you can see also on the right side, the red column there. Gross margin improved by 2 percentage points year-over-year, which is, of course, very supportive to not only the individual quarter, but looking forward, that is, of course, both important and supportive for margins. And we did continue our work with focusing our product investment and CapEx mainly to where it yields the best, which is our main franchises. So we had in the quarter 11.7% and for the full year, approximately 11.5%, down from over 14% last year. So we are doing what we said we were doing from the Capital Markets Day and onwards. Also very important when you look at individual quarters, you can clearly see how it fluctuates. We had the highest cash flow ever in this company's history in Q2 this year. And now we have a lower cash flow due to the push in UA mainly and also the other factors that I mentioned earlier with higher interest rates and so on. But looking at the LTM numbers, you can see, again, how stable both adjusted EBITDA is, so it's 37% plus/minus 1% and also on the EBITDAC, how very stable it is. And again, this is the normal pattern we shall have if it's a normal market and a good market, a significant variation between quarters, whereas over rolling 12 months, it should be more stable. So this is, in that respect, good news. Looking into a bit further into the direct-to-consumer or DTC things that we have been working quite extensively with the last couple of years. And this is now, as you can see on the right side of the slide, you can see how we gradually through the Strategic initiative we took a couple of years ago, been improving that. So it's improving year-over-year by 29% in numbers and reaching 29%, which is, of course, again, very supportive. And one of the main explanations that why we have increased gross profit margin by 2.3 percentage points. And this is something that we continue to do, not the least in new products like Sunshine Island, which I will come back to what we're doing now, which we haven't done yet because it's the young product, and we have been scaling it. One of the things that we add is a direct-to-consumer, we enable it to be direct-to-consumer channels as well. So again, we see clearly that the improved market conditions in the fourth quarter has been here. That was our hypothesis that we would see in February last year when we had our Capital Markets Day. And during the year, we have been talking about this. And that is, again, very important for us, and it's satisfactory to see that we managed to do, despite the challenges we had in Q3 or with the cyber attack that we, unfortunately, were hit by during the summer. We did reach a positive organic growth through not only Sunshine Island push, but also some other key franchises like Supremacy that has been developing very strong and scaling very good in Q4, which you will see in a minute explaining why the Strategy portfolio has been growing with good numbers. The good thing with Strategy is that when you get in new users, they are very stable with high retention and high spending patterns. So I'm sure we will also enjoy that benefit from that for several quarters to come. Survival Tactics was a new game that qualified to be part of our active portfolio that came in. So 3 new products in total this year and Survival Tactics was from 6waves. So it's pleasing to see that 6waves managed to launch a new product into our active portfolio. Further, very stable and strong performance, as always, I would say, from Jawaker, all there now, I think, 43, 45 games or so in one single app is incredibly strong with continued good, solid growth paired with very, very good margins. But also very good to see that Moonfrog's Ludo Club is also growing satisfactory. But of course, Sunshine Island is the main growth that we saw in growth trajectory in the fourth quarter, and it was included in the third quarter in our active portfolio. And that is what is behind the UAC extraordinary push that we had in the quarter. And since this is something that is extremely clear this single quarter, I would like to elaborate a bit more what it means to scale again the way that we did with Sunshine Island in this year. It's what we called, and it was a number of years since we were able to kind of trampoline launch when you have a massive launch in a short time of period. And what is needed to do that is strong KPI. We saw these strong KPIs already when we launched the Q3 earnings call and when we had our earnings call for Q3, which was one of the main reasons why we were bullish about a significant improvement in organic growth. And as you have seen, we went from not good at all, minus 10%, we improved it by 7% to now be minus 3%. And that's very much thanks to this. But you can see on this slide, on the upper right side, you can see the graph, which is showing typically, this is not the exact number from Sunshine Island, but you can see how you typically, if you have the right KPIs for it, so the product needs to have the quality and strength that Sunshine Island, for instance, had, then you typically after the diligent soft launch when you're adding things and adjusting the game, when you start scaling it, you also increase both the UA, but you also need in order to get the critical mass of users into the game, you also extend the horizon for payback. So as you know, we have been for, I don't know, all the soon 14 years of this company's life, we have been very loyal to our 180 days return on ad spend, but that does not go for when you're launching massively a new product, then you run it with a deficit for a period which is shown dramatically by the lower graph, you can see that the UA is represented by the red line. And then after some time when the players that you acquire comes into the game, they start to spend. But it's a clear deficit in the scale-up phase and in the earlier part of the growth phase, which is the exact reason why we are off when it comes to margin in the fourth quarter isolated, but this is also, as you can see, illustrated in the graph there, this will support us with growth and good contribution for a long time ahead, which is very important to see. If you get a chance to scale a game like this, it's an absolutely must to take that opportunity. Otherwise, we will not run this company in the way that a company should be run. You must take what is supporting you not only the individual quarter, but also for years to come. So looking at Sunshine Island, you can see that it was very successful. Actually I think it's the most successful game ever that we have launched during 14 years. So you can see that also illustrated on the graphs here, looking at the 7-day average bookings, we managed to scale it by 4x during just only this quarter to quite high numbers. And also the daily active users, which show that the retention is fine, which shows that the engagement is fine, was also 4x up, and that is quite strong numbers, I would say. Then of course, you shouldn't just extrapolate this that we will be 4x up every quarter because what happens, as I showed in the last graph, is that when you come up to this more growth phase, you have to add new content because otherwise, the most loyal and most engaged players will have no more content to consume. So what you do is that you add new content as you have reached this critical scale. So it's more of a plateau and then you can continue scaling it more. But this launch is again the most successful we've had. But a very strong uptick in the end of the graph is obviously related to the holidays and Christmas and so on, when the engagement levels and the UA conditions are at best for the full year. So obviously, very pleased with this. Now we add new languages besides the new functionality I mentioned, but also that we see to that we have more live ops events and also adding the possibility to pay through our own channels. So all in all, we are extremely pleased with the scaling of Sunshine Island in the fourth quarter. However, it's hurting our short-term margins, but supporting our growth and margins for years to come. Looking a bit on our active portfolio. I will not go through everything here, but you can see that our user numbers are declining slightly, but you can also see that our paying users is up and that during the quarter, we had a month-over-month increase in both MAU and DAUs in November and December paired with an organic growth as well. So I think that October was not a very good month for us, just as Q3 were not good, but it's a significant change and it is supported by a much more normal and hence, stronger market. You can see that our efforts focusing on the most valuable customers or consumers has also paid off. So yes, it's still declining total number of users, but not in November and December. Paying users going up. You can also see that the average revenue per daily active users is actually up year-on-year 16%. So the monetization is actually working very well, and we have increased our efforts on live ops and it's paying off, and that's not only related to 1 or 2 products or 1 or 2 product areas, it's actually across the line. The direct-to-consumer efforts, as mentioned on the previous slide, was up by 7 percentage points year-over-year, and that is through hard work in our studios and again, supporting our gross margin. And we had just as last quarter, 51% of our bookings came from the top 5 franchises. And as you know, we focus more on our 10 to 12 largest franchises. And you can also see the split of our bookings through channels on the upper right side of this slide. Here's a lot of numbers, which I will not read for you, but just highlighting a few things. Strong sequential increase in bookings and users in Strategy. And again, it's the Supremacy franchise that on its 12 years continuing to deliver a very strong and appreciated user experience, and we are developing new features constantly and live ops is increasing, which is very good. The scaling of Sunshine Island, we have mentioned. So that supports simulation or action on RPG. We lower our UAC in casual and mash-ups, so they are not obviously then growing that way. But we are taking away the scaling of the new title, we are at our 108-day group ROA still. You can see which is important, but maybe not as visible, but now we have improved the balance in our portfolio between the 3 different product areas, which is shown on the lower hand side of this slide. So with that, I will hand over to Andreas, please.
Andreas Uddman: Thank you, Jorgen. Before I jump into my normal slides at the quarter end, I thought it was good to take the time to summarize a bit in terms of our margin and synergy developments that we had during the year. This is exactly the same slide I showed approximately a year ago at our Capital Markets. But just to describe a bit what we have done and how we have been able to execute a margin growth of 1.8 percentage points in just 1 year. I mean as we stated at the Capital Markets, our financial target is to have 26% to 29%. But we also stated that the 2023 is a transition year where we will actively work on this. So what did we do? We started the year, obviously, we ended 2022 with SEK 1.6 billion of EBITDAC in total, and that was a 22.7% EBITDAC margin. In terms of direct costs, I mean, Jorgen has talked a lot about it. We talked about a few levers, obviously, the direct channels to our payers that has been growing probably a bit exceeding our expectation. That is not just something that happens overnight. It is a continuous trying out how to engage the players in certain payment channels, et cetera. And that is something that we are really seeing coming through the numbers. So just in terms of this year, that's a 1.7 percentage point improvement or in absolute terms, almost SEK 140 million lower cost in our direct costs for this position. So that is definitely something that we have worked on. In terms of UAC, so user acquisition, we have actually spent more, which is positive. It's an investment. Sunshine Island is one of the games that have driven that, especially in the last quarter. So that is a positive that this money will come back. So even over time, that should be around our 25% to 26%. This is sort of this year and especially the end of the year that we took the opportunity to spend. Looking at staff and other OpEx. And if you just look at the full year number, it obviously looks like it's actually reducing our margin. Looking at just the Q3 isolated, it actually improves our margin. And the reason is that we have done things in our business. We have not allowed some studios to grow and some studies to invest. That has led to naturally that some headcount as have been taken out during the year. It's not something we did in a drastic move saying, now we're going to do X, Y, Z, we've done that sequentially during the year, and that is also coming through the numbers, especially by the end of the year, both in Q3 but also in Q4.And that also comes through into the total investments. We stated that we will take down our total investments. We were at about 14% in 2022, that we would take gradually down by more strict requirements in terms of our ROIs and more deployment of capital into our franchises. But we also said we're not going to do that just with a big bang and stop all the investments, we don't want to be destroying capital. But there, we have also managed to reduce it by 2.6 percentage points. But even if I say that, we still invest SEK 805 million in terms of product development this year. So that is still a higher number than we, for example, invested in 2021. So it's not like we're cutting investments. We are focusing our investments into where it yields the best and Sunshine Island is one of those examples, and that is in part of one of our bigger franchises. So we go out with the year. We have above SEK 100 million better EBITDAC in absolute terms and in terms of percentage points, we increased by 1.8 percentage points and ended up the year with 24.4% of EBITDAC margin. So that is really showing that we are taking the right steps. It is not something that just happens overnight, but it actually is coming through the numbers very well when we summarize this year. And that would obviously create a leverage effect, an operational leverage and financial leverage effect when we return to growth going forward as well. So jumping a bit into the next slide, which is the star slide to focus on the cash flows. We had an operative cash flow before net working capital of SEK 357 million for the quarter. That is obviously slightly lower because we did spend SEK 100 million more in terms of UA Q4 2023 versus the same period 2022. That is a conscious decision. SEK60 million of that went into Sunshine Island. And as Jorgen showed in his graph, that will take a bit longer time to return. But this is what I would call positive investments because it will yield back cash as well over time. We had a higher interest rate environment as well. So within the cash flow from operations, there is also approximately SEK 90 million of paid interest. Some of that is one-off based on the bond refinancing we did, but the majority is obviously that the interest rate has come up and depending on who you listen to might have peaked, but that's something that does impact our cash flow, but we can still absorb that within our business. And also in this number, we paid taxes of approximately SEK 80 million in the quarter.Net working capital, slightly negative, mainly due to accounts receivable as we are both November and December were strong. October was a weaker month. And of course, then we build up receivable balance in some of our games. So that is a natural cycle that over time will come back. The investment for us for the quarter is fairly straightforward this time. It's SEK 211 million. Out of that, SEK 204 million was for product development. That was 11.7% of our net revenues. But looking at last year, it's [indiscernible] million less or 1.5 percentage points lower in terms of net revenues. Slightly higher than Q3. I think it's important also there that cash flow is in terms of CapEx, especially like when you have games like in third-party games like we have in 6waves that when you launch a game, you have larger one-off payments as part of the milestones for that third-party development. So that's basically what happened in Q4 isolated. In terms of financing, here, we actually intentionally have tried to pay back debt. Interest has come up. So we're working actively on minimizing the debt we have and repaying quicker. So that's something that brings down that cash flow, and we should reduce our interest costs over time as well. Then looking at the last 12 months. We still have a strong underlying cash flow weaker than last year, and I will explain a bit what drives that difference. We had approximately SEK 1.8 billion in cash flow from operations. That includes SEK 142 million of higher cash paid interest in the year or financial costs. So that's just something to bear in mind when that number is reviewed. We had a higher negative effect on net working capital, which is driven by receivables in this year, and that just shows that we are scaling our games by the end of the year. Over time, net working capital will equal itself out. And in addition to this as well, we had some one-off costs. We don't adjust our cash flow for items affecting comparability. So when we have reduced the number of people in the organization by being more strict in terms of capital allocation, that has also yielded some cash costs during the year of approximately just above SEK 40 million that also impact this. So just important to have those 2 key considerations in mind. So after net working capital and these payments, we had about SEK 1.6 billion of cash flow from operations, and we have invested SEK 805 million of that into our product, which is actually a lower relation in terms of what we did in 2022. So we ended up the year with SEK 833 million of free cash flow. That has been used this year to reduce our debt positions but also to do a buyback during the year. But just to remind the 2 key items in terms of interest paid and also the one-off costs we had for cost optimization, that would have actually improved. We would have had a better cash flow, if you add those back. Looking then at the leverage. During the quarter, we reduced our absolute net debt with almost SEK 300 million to SEK 4.6 million versus Q3 in 2023. So we are pushing down the absolute amount, and we're also coming down in terms of our leverage ratio in the quarter. So it's playing out the way we have planned it to do, and our leverage ratio is 1.84x and that includes the cash earn-outs. If you exclude that, it's 1.64.We had a cash position of SEK 807 million, which we have reduced. That's a good level that we want to keep, but we also had SEK 2.4 billion of unutilized credit facilities. And I think especially around if you look at the maturity profile of the graph to the right here is that now the last quarter we had, we still had parts of the 2024 bond. Now that has all been settled. So our next maturity is in May 2025. So it's 1.5 years away. But we will, of course, as we always do, tactically work with our debt portfolio to ensure that we have a good maturity profile within our business as we have also historically done. So just to summarize on the financial side, we have really increased our discipline in product development investments. It's really coming through now in the numbers for the full year. We have targeted cost initiative projects as well, both in terms of how we deploy budgets in terms of people costs, but also in terms of how we negotiate with our suppliers. We are now talking as one group. So all these margin enhancement initiatives ensures that we can grow our EBITDAC. And as mentioned, that will create an operation and financial leverage when we return to growth. We continue to still have a strong cash flow generation in the business, and we also have spare facilities that we can use if it's needed. But we continuously generate cash, then it's obviously just looking at one quarter that can be a bit fluctuating. And coupled with that, our maturity profile has matured during 2023, which gives us a good position when we have gone into 2024. And with that, I hand back to you, Jorgen.
Jörgen Larsson: Thank you, Andreas. And I will just summarize with some key takeaways. We did achieve a significant improvement in organic growth in Q4 from the weak Q3 that we had. And that is very good, of course. We also see that the market is improving and the pattern that is so important to have where you can deploy more UA if you had the right products, both existing ones and in our case, in this specific quarter, an exceptional opportunity with Sunshine Island. So that is lowering the margins for the individual quarter, but it's supporting our long-term prospects of both growth and additional margins not only that we are cutting down on costs. We do that as well as Andreas elaborated on, and we are more disciplined on CapEx. So I think that we are in a good position for increasing our EBITDAC as we did in 2023, both our margins up by 1.8%, but also in absolute numbers, we had higher earnings on the EBITDAC level. The higher user acquisition spend, it should in a normal market and with the product be higher not only in Q4, but also in the normal market, it should be higher in Q1 as well, whereas the margins is the prime thing that is growing in normal market in Q2 and Q3. And we think, again, that we are into the normal pattern. So you should expect high UA. We have started off the Q1 this year with high UA spend and that will support and leverage the new products and existing products with growth opportunity. So year-over-year, we expect that we have organic growth rate that will improve with our addressed market, of course, we are not immune, but our conviction of what we see currently is that the market is improving, so we will improve with the market. So we come from the minus 10% to minus 3%, and we will improve from that going forward. Very important is to not only focus on one quarter, it's to look at the full year. And the full year 2023, we did what we planned for and what we communicated during the last year that we improved our EBITDAC margin with 1.8% up to 24.4%, and we did reach and crossed the line of 0 organic growth into positive territory in November and in December. So with that, I would open up for questions, please.
Operator: [Operator Instructions] The next question comes from Simon Jonsson from ABG Sundal Collier.
Simon Jönsson: First, when you guide for high UA spend, if you continue here in Q1, do you mean that it should stay on similar absolute level? And as a follow-up, do you expect to maintain a similar absolute UA level for Sunshine Island as well in Q1?
Jörgen Larsson: We don't guide explicitly with the numbers. But yes, we have started off with higher UA spend. Again, what you should look at, I think, is a normal pattern. Now that was a couple of years ago. But then that is what we expect because the market is there supporting it, and we definitely have the product with Sunshine Island that you mentioned. So we continue, there is this Q4, which is from the end of December into January, that is when you usually have the best return, and we have seen that as well. Then later in the quarter, we don't know how long we can continue with the high UA that is different 1 year to another. But we think it will be higher, but I cannot give an exact number on what it will be neither for Sunshine Island nor for the rest of the growth Supremacy and other products. But, again, we think that we will see a normal pattern and then lower in Q2 and Q3.
Simon Jönsson: All right. But can you say anything about the trend in Sunshine Island, the UA for Sunshine Island? Was it peaking in December or...
Jörgen Larsson: I think that what I tried to describe in one of the slides is that what you do when you have reached a certain level is that you need to also invest in more content. You add some functionality, the direct-to-consumer payment solutions and so on. So you shouldn't just extrapolate or will not just be 4x every quarter, but that is a very important and natural step. So it's a blend of keeping the momentum as long as we can in the Q4 period, but then it will slow down because then we need to add more content so that the content and the communities and everything that is around the core of the game is keeping up with the UA spend and all the new users that we take in. So that is what you should expect. So it will not be just a straight line. We will not improve by 7% every quarter I expect. But if we have the opportunity, I will take it. But that is what I can say at this point.
Simon Jönsson: All right. And on the positive organic growth you saw in November and December, is that only driven by higher D2C sales? Or did you also grow the sales in third-party stores?
Jörgen Larsson: We grew the sales over the line. I mean we did grow our 1% our gross profit. So that indicates that both of these are very good or developing very satisfactory, but it's not only related to the DTC channel, but we are improving, as you saw on the graph that I had for each and every quarter, we have been improving our DTC share of revenue. So I think it's 2 different aspects. But the main reason why we can grow is that our products has been, we have been able to deploy UA without compromising on returns and then the large launch of Sunshine Island, that is one thing. The second thing is how we constantly work with our DTC channels.
Simon Jönsson: All right. And the last one for me here. Do you want to comment on what affects Apple's new changes to App Store in Europe could have on your gross margins in the coming years?
Jörgen Larsson: Yes, we think it's a bit early to say, even though it's soon due time. But as many times when it comes changes from players in the ecosystem, it's not crystal clear everything. So we have put some efforts into analyzing and having a dialog with Apple as well. What this means? It's also who knows whether this is the final design of this, I don't know how you would react on this if it's enough, so to speak. But we don't see any significant effect slightly to the positive side if measurable. But at this point, we are very cautious about this. It will not have a negative impact. Then you should remember that it's in EU and it's iOS only. So it's not more than roughly, give or take, 10% of our group revenue that is impacted on this. So it's not a massive share of our revenues either.
Operator: The next question comes from Erik Larsson from SEB.
Erik Larsson: Two quick questions from me. So first off, just I appreciate the data points you gave there with SEK 60 million on UA for Sunshine Island and the general example there in the presentation. So would you say that this game is still in the scaling phase? Or has it moved into the growth phase where we are today?
Jörgen Larsson: I would say it's into the growth phase. So what I explained there is when you're in a scale-up phase, you don't work with additional content, but you have diligently done your work on the soft launch, which we did in Q3 so that you have the right KPIs. When you have so strong KPIs that we saw already in the end of the soft launch, then it's just a push. Otherwise, you're not doing your job at all, then you're destroying your opportunities for mid- to long-term. So I would say we are up 4x just in the quarter. So we have a critical mass. We have a high appetite from these users on new content. So we need to add that, which is typically what you do in the growth phase. So I think it will come and go how much we push, obviously, depending on channels and how good the momentum is in marketing. But I'm optimistic that we will be able to push Sunshine Island for quite some time, but we need to be very diligent about adding content, adding other things to the game as well. So again, you shouldn't just extrapolate Sunshine Island, but I think we will be able to push significant UA not only Q1 but for next year and to make this a flagship product in our total portfolio. It's ready, I should say, the flagship product within our Big Farm franchise just in a few months.
Andreas Uddman: Just to add, when we talk about the phases in the game, the phases are not steered by the quarter end period. So when we talk about where is it now, we're talking where we stand today. And then we have a January that just passed. So it's just a comment.
Erik Larsson: Yes. Great. And then just a question on the personnel. You talked about it, but we saw some additional headcount reductions here in the quarter. So I'm just curious if we should expect this to continue a bit. And also if you have any rough idea on where salary inflation could land in 2024?
Jörgen Larsson: I can start and then you can fill in, Andreas. But looking at the way that we do this is not that we're making a drastic as Andreas also elaborated on. And we said also at the Capital Markets Day 1 year ago, we will do this diligent because if you just shut down studios, you can bring down the cost, of course, very rapidly, but then you're destroying value. So that is not the way that we have done. We have carefully went through our product portfolio and our project portfolio with new products and see which one we should keep and continue supporting and some of them didn't make the threshold. And as you can see, that has paid off and that we have been lowering our CapEx. ROI on our CapEx is going up. But a consequence of that is unfortunate that we are cutting down on staff. So it's not one studio or like that. It's in several studios where they're not working on demand franchises, you can say, to generalize.
Andreas Uddman: We don't sort of comment going forward as well. But I mean, it goes for the same mantras we've worked in 2023. It's like, okay, if the circumstances for the studios in terms of growth or opportunities change, of course, they need to look at the cost base. And I think it's important. Yes, of course, we look at ways to address our cost base to be more efficient. It's not just about cutting down. It's actually about using other tools when you scale the games instead of building up just more people. They are. I mean, AI, we talked about. But of course, that's an opportunity to scale games without adding the same kind of headcount that you have had just a year or 2 ago to be able to scale the game. So that's just one aspect. In terms of the salary inflation, I mean, we don't have a specific number. I think we operate in very different geographies. We have people from San Fran to Tokyo and more or less between the long way. So I mean, cost focus in the tech business in general, I think people have become very aware of that. But we haven't stated a certain number in terms of this is the number. I think it's also related where is the studio and what can they afford basically?
Jörgen Larsson: I may add one thing to that as well that we are not at our target when it comes to CapEx. So we are the full year at 11.5% and Q4 alone, 11.7%. So we are still working with the ambition to take it down to our historical average of 10%. So that might indicate that we are not done with that basically, but also that shows that we have a potential of additionally, say, 1%, 1.5% to add to the EBITDAC margin. And then we are very close if we add that to the 24.4%. So we think we are in good shape for reaching our financial targets also on the margin side, not only top line.
Operator: The next question comes from Edward James from Cantor Fitzgerald.
Edward James: Just got a few. You mentioned improving market conditions. Can you just help us understand what you mean by that specifically and whether you think the mobile market has now bottomed and whether you see any future risk from Apple's crackdown on fingerprinting? And related to that, you say that organic growth should continue to improve throughout 2024, but you've not explicitly stated whether it will be positive for the year. So can you just give us some color on how you see that kind of evolving through the year and the shape of recovery? And then just finally, clearly, margin outlook for 2024 will be slightly weaker than kind of consensus had previously expected, but for good reason, as you've outlined in terms of investing in new games. Should we think about the investments in new games, creating lower margin in '24, but as the new titles sort of normalize in terms of their growth and profitability, then in late '24 and '25, you should see those new games such as Sunshine contributing positively to kind of profitable growth? Just be interested on your thoughts on that.
Jörgen Larsson: So looking at the mobile market, yes, it's our perception. Again, you cannot look on individual months or quarters, but it's definitely, as I've said many times, this earnings call that we see several signs of normalizing. And the 2 prime things that shows normalizing in the market is how marketable your products are. So that is one thing. And we see that the marketability is showing what it should show not looking at only Sunshine Island, but in general, in Q4 and so far in Q1. So that is one sign. The second is just that we have the normal pattern. So you should expect us to have higher spend in Q1 and in Q4 later this year. And you should expect us that we have lower spend in UA in Q2 and especially in Q3, which is the normal pattern. So yes, we expect that the mobile market is back on the structural growth where it should be. Then what the full year number will be and what Q1 will be, that is, of course, super hard to say where the market will be. But I think it will gradually improve, and then we are back on the structural growth track for many years to come, I think. Fingerprinting. Yes, fingerprinting will have an impact. But one of the things that I set down as a cornerstone in our strategy from day 1 was that we should have a marketing universe that is larger than our competition. So we should have many marketable products, 73 currently, and that we can market in many different geographies. So we are almost covering globally, and we should do it through many different channels for exactly the reason that some channels will from time to time when shifts come and go as they do rapidly in our market. Now with the fingerprinting that will, for sure, hit some of the channels that we use more, but there are other channels that will not have an impact. So I'm not overly concerned over that. It will be just as when IDFA came, the Facebook channel, which was the largest one, didn't work because they're [indiscernible] than were broken. But then we managed to shift 75% of our UA without compromising on return rates or volume for that sake. So I think that is what you can expect from fingerprinting. Looking at full year growth, of course, we expect and see that we can continue to improve it next year. It will be variations from one quarter to another. So don't forget that. But looking at the full year, we see that we will improve compared to this year, and we are in a very good position to reach organic growth, which we obviously did in November and December, but it's not every day, every week, every quarter that is necessarily positive in organic growth, but we are definitely going in that direction, and we have all the opportunities to have positive organic growth for this year with good margins. And on your question on Sunshine Island, yes, I expect indeed that they will contribute both to growth and to profitability and margins during the year step by step. Now we are increasing, as I said, with more content, more things for the players to spend their time and their money on. And then we will push more when we get the opportunities in a good balance. But I expect that maybe at the end of this year, we're going more into the earning phase for that title. But I wouldn't mind if we can continue to scale it 4x a couple of more times, maybe Q4 next year. But that is not the most likely scenario, but then it contributes with the profitability and cash flow instead.
Edward James: That's very clear. I just have one quick one just on the DTC improvement, which I think is really interesting in light of kind of the legislative pressure on Apple and Google and the EU Digital Markets Act. Can you just give us some color on which genres DTC is best for? I imagine it's largely focused on Strategy, just given the type of monetization within that genre. Can you also give us some color on what percentage of mobile bookings account for the DTC increase versus, say, PC and browser because I imagine, again, PC and browser games obviously lend themselves far more to that kind of monetization. So I'm just trying to get a better understanding of the improvement within mobile specifically?
Jörgen Larsson: Yes. So it's clearly different between different genres as you indicated yourself. So basically, you can say that when you have a high spending and high basket, so each of the payments are higher, then it's more meaningful for users to go to other channels than paying directly in third-party stores. And that goes for Strategy, that goes for RPG, that goes for some other products as well. Whereas on the other end of the spectrum, where you have the casual games, it's not as common and not as high numbers. So it's a quite significant difference from close to 0 up to over 50% DTC in some of our games. But we still think that we have more to do across the whole portfolio. So we're not at peak levels. I think we can improve that further. When it comes to the small portion of our revenue is coming, I mean we have cross-platform products. So then it's not as clear on mobile or on browser because they are played across platform. But we have a few products that are pure on PC or a little on the browser. But it's not the main driver of this. The main driver of this is that we managed to do that on cross-platform and mobile products. I hope that answers your question.
Operator: The next question comes from Rasmus Engberg from Handelsbanken.
Rasmus Engberg: I was going to ask you, when we analyzed it here and scratch our heads and trying to think about how we should model the prospective development organically in this year. Are there any particular quarters that you think are difficult comparisons, easy comparison, take it maybe Q3 is very easy to it. But what's your view on that how we should put our numbers out there?
Jörgen Larsson: You often have good questions, Rasmus. So that's why I tried to emphasize this because what is also difficult presenting the numbers is that we cannot operate the business. We should never operate the business only on the next quarter. So that's why short-term guidance is very difficult and dangerous, I would say, because then you tend to, it's just as important what you did last year, the same quarter as you did to do the actual quarter. So it's not the way that we can operate the business. And it's just looking at how it fluctuated last year to, that will obviously impact the posted organic growth this year as well. So as you all know, the exciting thing last year was that the second best or almost on par with Sunshine Island, we had the Albion East launch from March to up until the summer being exceptional successful. So of course, that was very good, but then we had the cyber attack. But still they're growing at good numbers. So it's still not as exceptional as it was from March to June, July. So of course, that is the bad news with that is that that will be harder to beat for some of these months. So of course, you should factor in that. On the other hand, we have Sunshine Island. But that is the only color. And as you stated, Q3 was then the flip side of it was that we had the SEK 80 million hit from downwards from the cyber attack. So obviously, it looks easier to beat Q3 than Q2. I know you already know that.
Rasmus Engberg: Yes. I just wanted to hear you say it. Another thing, it sounds very much as you're very pleased with January as well. Is there a fair assumption that so far, so good.
Jörgen Larsson: Well, if we don't give guidance on quarters, we definitely don't give it on months. But what we have said and stated in the report is that we have been able to deploy UA at quite high levels and that you should expect that because the normal pattern of the mobile games market looked that way. And so far, we have got confirmation that the marketability is in general good so far this year. So that is what I can say.
Rasmus Engberg: Very good. It's interesting. That was my final question, actually. I'll be on online. I have looked at some various data across platforms and stuff, but it is not so easy. What's your take? Is it going to come back to its former grades? Is it an emerging star for you? Or was it all squandered by something we don't know about?
Jörgen Larsson: Yes. It takes some time to get back to the levels that they enjoyed when they launched Albion East. But they have stabilized and started slowly to grow again. And there are, of course, new releases coming out. They had actually released already in January and new releases come into the year and new servers, we might open up. So I'm optimistic because it's a very strong franchise with a loyal user base. And the beauty with RPG games is that the loyalty and the engagement levels are very long in that kind of products, just as in Strategy. So it's definitely a product that I hope and think that we can show growth for many years to come, then it will be a bit tricky March to July. But again, we cannot run the business looking only at a few months and try to fix that. But the long-term growth perspectives for the very strong Albion franchise, we are as optimistic as we were 1 year ago.
Rasmus Engberg: Just a final question. I just saw in another report that you seem to have made some sort of reservation for legal disputes. Can you explain what that is?
Jörgen Larsson: Yes. We have a legal dispute that has been running for many times, well communicated when it happened, that is with the Kixeye Sellers, and these processes are run for an extremely long time. So it's something that we just have to adopt to the protocol on that. And then we also have the Ulka situation in Bangladesh, where we have, again, no news, but it's, of course, we are closely following and trying to maneuver the situation, but it's not super easy to maneuver at all in Bangladesh. But that costs also some fees for us.
Andreas Uddman: So it's nothing new in terms of the actual things that are ongoing.
Rasmus Engberg: I just wondered, it seemed like a very rather large figure, which is sort of other in the restructuring. Is that a run rate? Or is it kind of like a one-off? Or how should we think about that?
Andreas Uddman: I mean these are not run rates. These are, I mean, the cost goes up and down, depending on obviously how intensely you are working with certain things.
Operator: The next question comes from Nick Dempsey from Barclays.
Nick Dempsey: I've got 2 questions left. So first of all, you talked about the DTC potentially continuing to go up as a percentage. But do you have a sense of where it would be mature? What percentage you would like it to get to? And roughly the time period you target to get there? And the second question, the organic growth for casual and mash-ups, still weak in Q4, and I'm guessing Super Free and Storm8 still declining notably. I know that you have a portfolio and sometimes you invest more in one part than another and so something inevitably before. But those 2 seem to have been a drag for a long time now. So does it make any sense to look to sell Super Free and Storm8 to someone perhaps a bit more focused on their areas of specialism?
Jörgen Larsson: Let's say, yes, the DTC question first. So as I said, we think that we can do much more. And as both me and Andreas has mentioned that it's a craft. It's not just open our very sophisticated payment solution and then it would just automatically happen. It's a way of working with the community and reaching out to the community and get them to go to our payment solutions. So it's something where we have a lot of synergies in the group, where someone figure out a way of doing this in a very good way and then automatically through our Stilops operational platform that is distributed to all the other gaming teams so they can adopt and use that for their products. So I see that we have a synergy potential, which is still significant. To give a number, I wouldn't have said 29% 1 year ago. So I underestimated the pace with which we have reached 29% to this point. But so I think definitely, we're talking about at least percentage points more than we can do. That is my view for the next year or so. But again, it's hard to say because it's also depending on product mix. So if we connect it to your next question, we are doing a lot of things, and we're not happy with the cash flow mash-up organic development, obviously. But we are working intensively with changing that. If we are successful, the paradox comes, that will not support higher DTC. So it's also a product mix thing. But it could support gross profits because then you get the ad revenues to grow again if casual or mash-up grows. So it's not necessarily bad for gross margin, but DTC, it's not good for. And we are doing things, and I fully agree that it's not satisfactory with the development in 2023 and 2022 for these 2 studios. But we have things in our pipeline. We see some improvements, but it's early on and from lower levels. And to sell the assets, that is not the first solution that we have. We think our going in position in this is that we see the value of having different genres in our portfolio. It's a long time ago. But in 2020, Q2, when we enjoyed the uplift from the pandemic, I don't hope we get the pandemic again on the same level, of course. But from a business perspective, we enjoyed the growth. That growth wouldn't have it at the exceptional levels if it weren't for Storm8 that was onboarded then. So casual games functions in a different way, but sometimes we find good pockets of traffic and to fully utilize our market reach, we need these kind of products in our portfolio as well. But they have to be profitable and we don't have inevitable amount of patience and time. So I think that we are done with the questions, and thank you all for dialing in, listening and for those of you that raised some questions. And yes, by that, we close this year and this earnings call. Thank you very much.